Operator: Good day. And thank you for standing by. Welcome to the Taboola's First Quarter 2025 Earnings Conference Call. At this time, all participants are in listen-only mode. After the presentation, there will be a Q&A session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker today, Jessica Kourakos, Head of Investor Relations. Please go ahead.
Jessica Kourakos: Thank you. And good morning, everyone, and welcome to Taboola's first quarter 2025 earnings conference call. I'm here with Adam Singolda, Taboola's Founder and CEO; and Steve Walker, Taboola's CFO. The company issued earnings materials today before the market and they are available in the Investors section of Taboola's website. Now, I'll quickly cover the Safe Harbor. Certain statements today, including our expectations for future periods are forward-looking statements. They are not facts and are subject to material risks and uncertainties described in our SEC filings. These statements are based on currently available information and we undertake no duty to update them, except as required by law. Today's discussion is also subject to the forward-looking statement limitations in the earnings press release. Future events could differ materially and adversely from those anticipated. During this call, we will use terms defined in the earnings release and refer to non-GAAP financial measures. For definitions and reconciliations to GAAP, please refer to the non-GAAP tables in the earnings release posted on our website. With that, I'll turn the call over to Adam.
Adam Singolda: Thanks, Jessica. Good morning, everyone, and thank you all for joining us today. Before we dive into the results, I want to quickly remind everyone how we see our market opportunity, who we are, and why we believe we can win. There's a major shift in advertising towards performance to drive growth to your business. It's a result-driven approach focused on measurable outcomes versus brand advertising, which is mostly for awareness. While most advertisers buy ads on search and social for that need, many advertisers feel that they've maxed out on those channels. We estimate that there's about a $55 billion opportunity to serve advertisers' performance needs outside of search and social in the open web, and that is our focus. Taboola is a global leader in performance advertising, helping businesses grow across the open web. Our platform, Realize, connects thousands of advertisers to approximately 600 million daily users through premium publishers like Yahoo, Apple, and ESPN, top device manufacturers like Samsung and Xiaomi, and leading utility apps like LINE. Our extensive first-party data and AI investments enable us to uniquely identify user intent by analyzing their reading habits and genuine interests. This is information we uniquely know and can package in a way that advertisers can act upon. This makes us a key growth engine for advertisers side-by-side with search and social, and a trusted partner for publishers all over the world. Taboola today has a base of over 2,000 employees globally with 700 salespeople and 650 engineers. Last year, we generated about $1.8 billion in revenue, over $200 million in adjusted EBITDA, and about $150 million in free cash flow. Now turning to our first quarter results, we're happy to start the year off strong with our first quarter revenue, ex-TAC gross profit, and adjusted EBITDA all coming in above the high end of our guidance range. It is a clear reflection of solid execution, strong team focus, and the resilience of our model. For the first quarter, we reported revenues of $427 million, representing growth of 3% year-over-year, ex-TAC gross profit of $152 million, 9% higher than last year, adjusted EBITDA of $36 million, 53% higher than last year with margins expanding significantly, and free cash flow of $36 million, growing 35% year-over-year. While the microenvironment is something that we're tracking closely, we haven't seen material impact to our business. We've seen about 1% decrease in advertising spend related to the tariff so far, which is mainly China to us. This brings our China business to around 5% of total Q2 revenue as of now. At the same time, we're currently seeing positive trends in Taboola news, building supply, and other parts of the business. This reason tailwinds, together with our strong performance in Q1, support our decision to reiterate our full year 2025 guidance and continue aggressively buying back shares as part of our $200 million share buyback program. Now let's turn to some highlights from the quarter. In March, we hosted our Investor Day, where our management team, alongside several of our key advertiser and publisher partners, took a deep dive into the $55 billion market opportunity ahead of us, and how we're positioning Taboola to capture share in the performance advertising space, particularly through our Realize platform. Roughly a third of the event was dedicated to partner panels offering direct validation of our technology, data, and strategic direction. Our partners essentially echoed a clear message. There is a real gap in the market that Taboola is uniquely positioned to fill as advertisers are maxed out on search and social channels. The market appreciates having a company of our scale that is laser-focused on performance, measurement, and outcomes, not trying to be everything to everyone, but offering a real alternative when it matters most. Our management team is focused on tracking net new impacts from Realize, which is incremental to us. We define it as a combination of new demand formats and budgets we previously could not access. Alongside new supply placements that open new opportunities for advertisers. While it's still early, initial results are promising, and we're excited to share continued progress as adoption increases and our capabilities expand. At our Investor Day, we laid out three focused areas to accelerate growth in our business. First, driving incremental ad spend through Realize's new capabilities. Second, focusing our go-to-market strategy on things such as verticalizing our sales organization as well as going after ideal customer profiles, ICP, where we see better retention rates and lower churn rates. As part of our focus on growth, last quarter we introduced a new metric, scaled advertisers, defined as those spending over $100,000 annually. In Q1, the number of scaled advertisers has grown by 9%, reaching 1,996, which is great to see. Third, going after new supply partners that have unique data our advertisers are looking for, which would help us drive incremental growth in advertising budgets. Let me take this opportunity to highlight some of the progress we've made this past quarter. Starting with the launch of Realize, we officially launched Realize in Q1, marking a major step forward for Taboola. Realize leverages our core strengths, proprietary technology, unique data we have that others don't, and massive reach across the internet. Some of the new things Realize offers to our advertisers include new ad formats like vertical videos, social creatives, and display. You can easily import your social and display creatives to Realize, which advertisers really like. We have a new pricing model, so advertisers can now pay on a CPC even when buying display from us. Imagine an industry that for 30 years charged advertisers on impressions for display and would realize for the first time you can get the value of people seeing your ad, but you only pay us if a user actually clicked on it. This is big. We also launched a new predictive audiences solution that helps advertisers target users based on historical conversion data. Similar to lookalike modeling, this capability allows advertisers, like an insurance company that acquired 100 customers through Taboola, to efficiently find the next 100 by leveraging patterns from past conversions. Next, we're adding new display supply, which means that advertisers will be able to access all ad inventory on our publisher sites, not just bottom vertical. And last but not least, we launched a whole new refresh to our user interface, so it feels like what advertisers are used to on the big platforms. And with Abby, our intelligent AI assistant embedded into the Realize dashboard, advertisers have dedicated support with their campaigns every step of the way. While Realize is only out for two months, all of these new capabilities enable us to unlock performance advertising budgets that historically were out of reach. I'm encouraged by the energy this new product has injected into our sales teams, the early reception we're seeing, and the results from our initial advertisers, like Babel, Motley Fool, and others. I'm confident Realize will play an increasingly meaningful role in driving our growth in the years to come. Moving to onboarding unique supply and data, we've also seen good momentum with top publisher partners adding Realize display inventory, which is net new supply for advertisers. Our focus is adding inventory that is differentiated and is highly valued by advertisers because we have unique data. Enabling us to drive better ROI. As an example, we only bid on our own publishers where we have first party data and massive amount of historic conversions, which is an advantage. Or another example is Taboola news and utility apps where we have deep data integration. In the first quarter, we announced exciting expansion of our partnerships with Microsoft and Gannett, adding display inventory for Realize advertisers. We also signed an exclusive global partnership with LINE, which is one of the largest messaging app in Asia. Allowing us to bring personalized content and add to LINE users globally in new engaging ways. This is the first utility app that is signed with Taboola news, which is very exciting. And I believe utility apps will become a whole new wave of publishers for Taboola as everyone wants a piece of the advertising market. In summary, we've kicked off the year with real momentum. The early signals from Realize to capture net new advertising budgets are exciting and reinforce the opportunity we see ahead. We're heads down doing the work on what matters most as we move through 2025, and that is execution. We're confident in the strength of our business and continue to take a prudent approach to the guidance we've provided. While we have not seen a material impact to the business from the macro environment, we're tracking it while making sure we prioritize cost discipline and investment in our key growth initiatives. Our balance sheet is strong. We have access to revolving credit facility while generating healthy free cash flow. We continue to believe that the highest return capital is through investing in our own growth. And we intend to continue being aggressive with share repurchases. With that, I'll turn it over to Steve to walk you through our first quarter results and outlook in more detail.
Steve Walker : Thanks, Adam, and good morning, everyone. As Adam mentioned, we had a strong start to the year and we are well positioned to build on this momentum throughout the year. So let's dive into the details of our financial performance. In the first quarter, we reported results above the high end of our guidance range across all metrics. Revenues reached $427.5 million, representing 3% growth year-over-year, while ex-TAC gross profit reached $151.7 million, representing 9% growth year-over-year, which included a 70 basis point headwind from foreign exchange. Our revenue growth was primarily driven by 9% growth in the number of scaled advertisers, which was partially offset by a 3% decline in the average revenue per scaled advertiser, both measured on a year-over-year basis. As we said last quarter, we expect these two metrics to sometimes have an inverse correlation. As we successfully onboard new advertisers and grow them into scaled advertisers, it can sometimes pull down the average as happened this quarter. However, the strong growth in the number of scaled advertisers is a good leading indicator for our business, as it shows good traction bringing on new advertisers and scaling them over the last year. Having more advertisers fuels future growth as we can work with these advertisers to increase budgets over time. First quarter revenue growth was broad based and included positive growth in our existing core native business. As we indicated last quarter, the format testing that we were doing with Yahoo on select supply wound down this quarter and is now fully completed. As in the past, there was marginal reduction of first quarter revenue due to the way we were accounting for this test. Without this impact, first quarter revenue growth would have been approximately 5% year-over-year. ex-TAC gross profit growth was primarily driven by growth in overall revenue and advertising spend. ex-TAC also benefited from margin expansion in our core native business, as well as growth in Taboola News and our bid supply, which includes Microsoft. Gross profit of $119.3 million primarily benefited from our ex-TAC gross profit growth. In addition, gross profit increased due to reductions in our other costs of revenues driven by increased efficiencies in how we operate our servers and networking equipment. These were the result of investments that we made in our software platform, as well as advances in hardware technology. The end result was an increase in the estimated useful lives of our servers and networking equipment from three years to six years, which allowed us to increase the amortization period commensurately. This change took effect on January 1st, 2025 and applies to all servers with a carrying value on our books as of that date, as well as to any other servers purchased after January 1st, 2025. This will primarily benefit our GAAP gross profit since most of our servers depreciation are classified within other costs of revenues. But the change will also have a smaller benefit on operating profit and net income since some equipment amortization expense hits operating expenses. In terms of our profitability, our net loss was $8.75 million with non-GAAP net income coming in positive at 25%. Adjusted EBITDA for the quarter was $35.9 million, reflecting 53% year-over-year growth. Our adjusted EBITDA margin was 24%, which is a significant improvement over 17% adjusted EBITDA margin in Q1, 2024. This improvement reflects the benefit of our 9% year-over-year growth in ex-TAC gross profit, along with strong cost discipline that we maintained in 2024 and into the first quarter of this year. In terms of cash generation, we had $48.1 million in operating cash flow in the first quarter and free cash flow of $36.1 million. Our free cash flow benefited significantly from a couple of factors. First, free cash flow benefited from our improved profitability. Our net losses decreased from $26.2 million in Q1, 2024 to $8.75 million in Q1, 2025. Second, free cash flow benefited from strong management of our working capital. Q1 free cash flow also included a one-time benefit of approximately $11 million related to the timing of payments from the testing we did on certain Yahoo supply. Our free cash flow conversion from adjusted EBITDA has been over 70% over the last four and the last eight quarters, which we are very happy about. Looking forward, while we continue to expect to convert free cash flow from adjusted EBITDA at a 50% to 60% rate over any typical trailing eight-quarter period, I would hope to remain at the higher end of that range. Turning to the balance sheet, we remain in the strong financial position, ending the first quarter with a robust net cash balance of $89.7 million. Cash and cash equivalents totaled $216.2 million, which more than offset our long-term debt of $126.5 million. As announced in March, we proactively entered into a new $270 million revolving credit facility, which was good timing given everything that has happened since. We used the proceeds to fully repay our prior long-term loan and still have over $140 million of excess capacity on the revolver. This refinancing provides multiple benefits. First, the revolver has a lower interest rate, which will reduce our interest expenses. Second, the revolver will allow us to more proactively manage our working capital. Rather than have a fixed amount of debt outstanding each quarter, we will be able to draw upon and repay the revolver multiple times each quarter, which will reduce our average debt balance and further reduce our interest expenses. Together, these benefits are expected to reduce annual interest expense by $3 million to $5 million. In addition, the revolver gives us the ability to operate in a more capital efficient way over time, as we will be able to operate with a lower cash balance while preserving access to significant liquidity. This puts us in a stronger position to navigate macro uncertainty and continue executing on our long-term strategy. Regarding share repurchases, as we announced in our fourth quarter 2024 earnings call, our board approved an incremental $200 million to our share repurchase program. Given our current share price, we believe share repurchases are the best use of capital to drive shareholder value. During the course of the first quarter, we repurchased approximately 16.2 million shares at an average share price of $3.03 for a total consideration of $49 million. Since the end of the first quarter, we have repurchased an additional 15.1 million shares at an average share price of $2.83 for a total consideration of $43 million. At this point, we anticipate remaining aggressive in our share buyback program. Over the past year, our shares outstanding have declined from 338.6 million at the end of Q1 2024 to 324.5 million at the end of Q1 2025. This represents a decline of 4% of total shares outstanding. Moving to guidance, for the second quarter of 2025, we expect revenues to be between $438 million and $458 million. Gross profit from $124 million to $134 million. ex-TAC gross profit from $156 million to $166 million. Adjusted EBITDA from $38 million to $44 million and non-GAAP net income from $26 million to $32 million. We are reiterating our guidance for the full year. We continue to expect revenues to be between $1.84 billion to $1.89 billion. Gross profit from $536 million to $552 million. ex-TAC gross profit from $674 million to $690 million. Adjusted EBITDA from $201 million to $209 million and non-GAAP net income from $122 million to $128 million. While we had a strong Q1 and we are pleased with the momentum of our business, we do not think it would be prudent to raise guidance at this point in time given the level of macro uncertainty. It is also important to note that due to the test we did with Yahoo and the implications that had on our revenue and ex-TAC, we expect second half year-over-year revenue growth to be stronger than in the first half. This is already factored into our guidance and will normalize beginning in Q1, 2026. In summary, we're pleased to report a strong first quarter with results exceeding the high end of our guidance and that we are reaffirming our full year outlook. With clear momentum behind the growth initiatives we shared at Investor Day and a large runway of opportunity ahead, we believe we are well-positioned to drive meaningful value for our shareholders over the long term. And with that, let's move to Q&A. Operator, can you please open the line for questions?
Operator: [Operator Instructions] Our first question comes from Mark Zgutowicz with The Benchmark Company.
Mark Zgutowicz: Thank you. Good morning, guys. Just curious, first question just on progress that you're seeing in fully verticalizing your salesforce and maybe you could just quantify it in terms of what inning you're in and whether you have the right amount of capacity to get to scale there. And then also curious and you talked about the 9% scaled advertiser growth offset by a 3% decline in average rev. I'm just curious if you could maybe talk around the puts and takes there in terms of whether you always expect there to be an offset or whether you can sort of remove that offset at some point in time, sort of what the put and takes are there. And then I had just one follow up, thanks.
Steve Walker: Sure. Hi, Mark. Thanks for the question. So first on the verticalizing and the kind of optimized go-to-market strategy with our sales teams. So the actual restructuring of the sales teams is done. So that was actually done tail end of last year, early this year to move the teams into verticals to have them focusing on ideal customer profile verticals. So that's done. They're starting to sell that way now. I think the early returns are good, but we're pretty early in that process. So I think Adam talked a little bit in his remarks about how we're seeing nice traction with some of the early conversations we're having about Realize, and that's obviously centered on some of those verticals. So I think we're seeing some nice early signs, but to your question about what inning are we in there and kind of where are we really, I'd say we're in kind of the second inning, like we've gotten out of the start of the game, we're starting to see some traction, but too early to really talk about metrics and kind of what's happening there. So that's kind of where we are on the optimized go-to-market. In terms of your question about our scaled revenue, our six scaled advertisers and the average revenue for those. So first of all, do we always expect to see them to move in an inverse way? No, like sometimes you can both grow the number of scaled advertisers and the average revenue per scaled advertiser. It can happen that way. But I think what I would say is, if you look at our numbers this past quarter, we're very happy with where the number of scaled advertisers went. So going up 9% is a very positive sign for our business because as I said in my prepared remarks, that's basically the fuel for future growth, right? If you're growing the number of advertisers you have, now you've got clients that you can talk to and work with and grow budgets over time. So we're very happy with that. It was offset by the 3% decline in the average revenue per scaled advertiser. But if you look at that more on a historical basis, so if you look back over the last few years, that number, the average revenue per scaled advertiser, which was around 184,000 this quarter, is still at a historical high point. Like if you look back to Q1 of 2023, that's actually up 17% from the 157,000 per scaled revenue or scaled advertiser that we had then. So it's still at a historically very strong point for us. So we're actually very pleased with the trend on both of those metrics. So I think we're doing a good job. Again, we're early on realize and we're early on the ideal customer profile and optimized go-to-market, but the early signs are positive.
Mark Zgutowicz: That's helpful, Steve. Appreciate it. Just one quick follow-up just around the yield improvements that you saw that drove better 1Q native margin. I'm just curious if there was any one-time sort of benefits in 1Q or if that's a sustainable sort of trajectory for yield improvement and whether max conversions played into that.
Steve Walker: So first of all, we do, it's hard to separate the impact of something specific like max conversions from our overall business. But I think what I would say is in 2024, our overall yield improvement was around 105% for the full year, which was good. It's not our historical average of 110% or so that we're always striving for, but it was very good. The only reason that it wasn't stronger is because frankly, we added a lot of supply last year, which diluted some of the impact of the increasing advertiser budgets. So like Apple coming on, still growing the Yahoo supply early last year was part of it. So generally, we're pretty pleased with where it was. There weren’t any one-time effects. I think we feel good about our ability to kind of continue to grow yield going forward from here.
Operator: Our next question comes from Laura Martin with Needham & Company.
Laura Martin: Hi, there. So can we first talk about Google? So we've gotten some important, I think, Google news and its impact on the ad tech industry. Could you talk about what you think the, assuming they actually get to go forward with these remedies, the DOJ's remedies, how does it affect you guys?
Adam Singolda: Hey, good morning, Laura. So there's a lot going on in the industry. I think there's a bunch of things. There's about the cookies, and I think you and I actually talked about that last we saw each other, if possible. I think as it relates to that, personally, I think that companies in advertising should assume that cookies go away one way or another over time, and there's going to be much more privacy focused in the industry. So the way we think about it, these companies that have first-party cookies, that have access to a large stream of consumer behavior and can create value for advertisers with that in mind, that's going to be a big benefit. And now scale matters more than ever because of that. So I think about the cookie news, for me, it's no news as of now. As it relates to breaking and unbreaking that, it's unclear what's going to happen there. Overall, I think it could be an opportunity for companies like us, because advertisers may look for alternatives to still find growth. So cautiously optimistic, but we'll see what happens.
Laura Martin: Okay. And then my second thing I did want to follow up, when we were at Possible, you guys were spending a lot of time and had a lot of meetings in your activation around Realize. So I was just wondering if you could update us on what you heard two weeks ago about Realize and this launch of Realize to try to jumpstart your display advertising product. Could you talk about what you learned from all those meetings about what people are saying about Realize and are you getting better adoption?
Adam Singolda: Yes, so financially it's still early stages like Steven mentioned, but what's really exciting for me, because I focus a lot about net new. So I'm looking to see what types of budgets we could have not gotten before that we can get now and why. And I think with Realize, a lot of it is about, if you think about display advertising as an example, and especially with this macroeconomics where advertisers are looking for performance and outcomes, the fact you can buy display and pair in a CPC basis is quite new. So we're hearing good feedback from advertisers about how that's encouraging to them. In general, we're thinking about how agencies are spending more time about outcomes. So the whole idea that we can have predictive audiences, we can upload creators from social and display fairly quickly. You can pair on a CPC, which is very much performance driven. All those things come in a good place and specifically at a good time. So to me, the feedback is mainly positive. We have high dozens of clients that we think we could have not gotten before and that's great. And it's injected a whole new energy for the sales team globally. You've probably seen a lot of activity there, which is all about this net new concept. What types of advertisers and budget could we get now that we just could not have gotten before?
Laura Martin: Okay. And then my last one is since April 2nd, when we started these tariff issues, quarter to date, I noticed that you did not raise the year, but you over delivered the first quarter. So are there any verticals where you have started to see weakness since April 2nd in the current quarter?
Steve Walker: I'll take that one, Laura. So in general, performance advertising, I think is not going to be impacted as much as certain types of advertising by what's going on with tariffs. But what we've seen in our business is about a 1% impact, mostly related to China. So it's not material, but we're seeing something. Just to give you a sense, it's basically Chinese advertisers that are trying to reach US consumers have definitely cut back their spend because they're being directly impacted by the tariffs. Other companies such as car companies or companies that rely on Chinese manufacturing heavily, they've also cut back somewhat because they're worried about their supply chains and their ability to deliver product to consumers. So we've seen some impact. Again, mostly Chinese advertisers, what we call our China export business has been impacted, but it's not material, it's around 1%. And that's kind of what we've seen. By the way, that's baked into our guidance. And that's our assumption on guidance is that that's what remains for the rest of the year.
Operator: Our next question comes from Jason Helfstein with Oppenheimer.
Unidentified Analyst : Hi, this is Steve Roman on for Jason. Just one question from us. When do you, this is probably for Steve, when do you believe Realize will start becoming a meaningful revenue driver? Thanks.
Steve Walker: So I think what we've said at this point is that we're, and Adam talked about a little bit a moment ago. So we're in the early stages. We're seeing some really positive signs in terms of meetings that we're having that we're getting. Laura mentioned we were at a conference recently where our sales team spent a lot of time with advertisers and got a lot of interest, probably more meetings than we would expect at a conference like that because of the interest. But that's all very early indicators. Like it's not something that we can forecast yet. So as of now in the 2025 guidance, we don't have Realize factoring into the guidance for this year. If that changes as we go forward through the rest of the year, we will definitely update on that obviously. But we expect Realize to have an impact. We think it'll have an impact starting sometime late this year and then as we move into 2026. But again, we'll update on that as we kind of see, as there's something that's more forecastable.
Adam Singolda: I'll just mention that, especially given what's going on in the world, we feel good about how there's no better time to try to go after the performance advertising market with Realize because that's, if you're a business, there's no better time, we've seen it, especially in the recent event, to look for partners that can prove measurement outcome. And we're thinking that there's a lot of saturation and diminishing return with search and social. So not only do we believe in this strategy, but this comes at a very good time in the industry as advertisers are looking for someone they can rely on.
Operator: Our next question comes from Zach Cummins with B. Riley Securities.
Zach Cummins: Hi, good morning. Thanks for taking my questions and congrats on the strong Q1 results. I just wanted to dig a little bit more into the different components of your business. It sounded like in Q1, both native and Taboola News and even your bidding stream with Microsoft did pretty well. I'm just curious as we go into a more uncertain macroenvironment, which portions of your business are you anticipating will be more resilient versus maybe others that could face some headwinds in a more challenging environment?
Adam Singolda: So to me, this is more of a demand question because if the macroeconomics change, what it should change is the strength of advertisers' ability to spend dollars. So it's not so much about publishers or partnerships of different kind on the supply side. To me, that's more a question of the strength of the demand front. I think, so again, we haven't seen the future, but if the history is any indication, and we've seen this in the last iteration, being in the performance advertising space and not trying to be everything for everyone is a very good place to be. So I think that's one very important. We're not trying to go after the entire funnel. We're not trying to go after top of the funnel, branding dollars. Those tend to be historically more exposed. So if your business is TV, top of the funnel, high CPM branding dollars, I believe those are probably more exposed because that, if you're a marketer and you need to make sure that your business survives and thrives, you need to find clients, and then the first thing you may consider stopping is things that you're not sure drive direct correlation to sales and growth. So that's one. So I think we're in a good place. We don't have any concentration on demand side. There's no one client that kind of really owns a big chunk of the business. It's fairly diversified, and it's all driven by AI and outcomes. So yes, I think we're in a good place from that perspective, especially as advertisers are looking for more of that type of partners they can work with now more than ever. So again, I think that's more of a demand question, and it's hard to say, but so far, we haven't seen any material impact.
Zach Cummins: Okay, so that's helpful. And my second question is maybe geared towards Steve. Just in terms of the implied guidance for ex-TAC in the second half of the year, I think assuming the midpoint for the full year, it implies a slight decline year-over-year in ex-TAC in second half. Is that partially due to the tougher comp created by kind of the testing that you did with Yahoo in second half of last year, or what are some of the assumptions going into that component there?
Steve Walker: Yes, no, that's a very good question. So first of all, I think last quarter we talked about the fact that one of our realizations, pun intended, recently was that the native market is growing at low to mid-single digits, so slower than we had anticipated. And I think that's the right way to think about the growth rate of our business, of our core business, the core native business going forward. So if you were to ask me ‘26 and beyond, how is your core going to grow, I'd say that's the right way to think about it. And as we've discussed, what we think is that Realize will help us get back to more double-digit growth. The negative second half growth is primarily related to two factors. One is we've taken, as we've talked about, a very prudent approach to 2025 guidance, because we wanted to give our teams time to work on Realize and kind of get back the growth that we expect. And second, it's related to the fact that we're not raising our guidance now just because of the uncertainty of the macro. We don't think it's prudent right now to do that. So that obviously has an effect on the second half as well, because we're trying to be conservative there. So I think, the way I think about it is, expect us, our core business, to be kind of low to mid-single digits growth rates until we start telling you about the impact that Realize has. And at that point, we hope we'll be able to guide you a bit higher on that. And the second half is really just an anomaly related to where we are right now.
Zach Cummins: Makes sense. And maybe just one question for you, Steve, and it might be in the 10-Q, but just given all the share repurchase activity that you had in Q1 and to date in Q2, how much do you have left on your current share repurchase authorization?
Steve Walker: Yes, so we have about, I believe, $190 million left in our current authorization for the buyback. Sorry, I'm getting a gesture from one of my attorneys that it's lower than that. Oh, we're down to 140 now? Sorry, we're at actually about $140 million left on the existing authorization. From a, equally important, because we can always get more authorization from our board, but equally important from a cash perspective, right now we have about $80 million of net cash. That's cash after our long-term debt. We generated, obviously, good cash, free cash flow in the first quarter. We expect to generate good free cash flow for the rest of the year. So my expectation is that we'll be able to remain very aggressive on the share buyback, probably buying at least at a comparable level to what we've been buying lately. Obviously, that can all change if anything changes with our business, but we expect to continue to remain very aggressive there.
Operator: Our next question comes from James Kopelman with TD Cowen.
James Kopelman: Good morning, and thanks for taking the question. First one's for Adam. You mentioned that you're looking to track net new impact from Realize with new formats, budgets, and supply placements. What are you seeing in May Q2 more broadly as you track these metrics? I know it's early, but wondering if you can provide any color on, or any specific insights from the advertisers you mentioned, such as Motley Fool and Babbel. And also for Adam, any way to help us size up the opportunity with a LINE partnership or potential for additional similar deals with other utility apps? And then I have a follow-up for Steve.
Adam Singolda: Sure, so it's going to be a bit hard for me to provide any short-term indication of the financial impact, at least, but I can give you the flavor of the business. So one, when I say net new, just to make sure I share this with everyone, what I mean by that is demand that historically we could not have gotten. So think about display budgets and social budgets, which historically we didn't go after, and that's a much, much bigger market. And the second thing is also supply. We didn't show ads on. So instead of bottom of article, think of every possible display, as well as Taboola News and other areas where we can show vertical videos, social ads, and display ads. So to me, obviously, both of those things are very incremental, because none of them existed before Realize. So that's, and I'm laser-focused on that. I have a daily email that I get from the team that's sent to me, and I'm tracking that like a hawk, because I'm really excited about seeing that turning a corner and giving us, seeing that we have competitive advantage, taking advantage of our first-party data and AI, and seeing that go in the right direction. So overall, that's what I'm tracking. That's what I mean by that. We're seeing good early signs, and I think it's a combination of, we're focusing on clients, advertisers, where we know they have a market fit with us. So those ICPs, financial services, pharma, direct-to-consumer, and others. So we're seeing good performance, primarily lower churn rates, and higher ability to spend dollars with us. Again, dollars we don't think we could have had before. And I don't want to give cue to specific short-term, indication, but I do believe it's going in the right direction. So that's about that.
James Kopelman: LINE?
Adam Singolda: Yes, and LINE is, again, it's financially, I don't think we've given an indication on that, but nothing material for the guidance. What I will say is that the reason I really like this, and I think it matters to investors, is because LINE is really kind of like the first of potentially a whole new universe of publishers we can work with. So if you think about the publisher ecosystem, when I started Taboola, it was mostly websites. Then we expanded that into iconic partnerships like Yahoo and Apple, and now you're seeing that utility apps like LINE that have obviously reached to consumers also want to be part of the advertising ecosystem. I think advertising, which just crossed the $1 trillion mark, is something that many companies, especially Fortune 500 companies, want to be part of. And all of them will be a bit concerned to partner with Google because they're, to some degree, competitors. And Taboola is just a very good friend. So to me, LINE is just one of, what I hope to see a lot more in the future. And you can imagine who we want to work with, music companies, messaging companies, and many other apps we all have on our phones on every day that we use. So it's one of what I hope to be a whole new types of publishers we work with. And again, financially, nothing material this year.
James Kopelman: Great, and then for Steve, you disclosed employee headcount, including 700 salespeople, 600 engineers. Not sure if you do that every quarter. The question is, what can you tell us about potential headcount trends and areas of hiring as you ramp the Realize platform over, say, next 12 to 18 months? And how are you balancing that priority against maybe a focus on remaining prudent with regards to cost, given the ongoing macro uncertainty?
Steve Walker: Yes, good question. So I think you can see from our guidance that we don't expect cost to ramp a lot the rest of the year. We do see some ramp in the back half of the year on cost. And where that is mostly, so we talked about previously that most of our hiring for the sales teams with the restructuring of the sales team, ramping of Realize, most of that was done last year of Q4, and into Q1 this year. So I think we expect to be limited additional investment in sales and marketing. There'll probably be some, but it'll be smaller. We are ramping the R&D team some as we continue to build out features and functionality for the Realize platform. We see a lot of opportunity there, so we're ramping costs there a bit. G&A, obviously, we expect to continue to get cost improvements. I will also just note that we're heavily focused right now on where we can utilize AI to improve productivity within the organization. Our President, COO, Eldad Maniv, who you all have heard from, first question he asked everybody when they want to hire is, but where are you using AI and how can we improve productivity? So we're pretty much, we're very focused on that. So I expect us to remain relatively prudent on kind of increasing costs and try and remain relatively frugal for now. We see a lot of opportunities to improve productivity as we go.
Operator: Our next question comes from Matt Condon with Citizens.
Matt Condon: Thank you so much for taking my questions. My first one is just on with Google rolling out AI overviews to more users and also leaning in with an AI mode and just AI search more generally rolling out to more and more consumers. Has this impacted publisher traffic that you've seen so far? And then how should we think about that going forward just as AI search becomes more widely adopted? And then my second question is just, Adam, can you just talk about what you're doing to increase the breadth and depth of your auction? I know you've implemented a lot of efficiency just within the interface, the UX of the actual platform with Abby and other things. Can you just talk about the progress of that and what you're hearing from advertisers? Thank you so much.
Adam Singolda: Of course. Thanks for the question. So as it relates to the first one, and if you recall, we kind of touched on that on Investor Day, which I thought was great. So one, we've seen throughout last year some effect. Obviously, now we are where we are now, but we've seen some effect from search traffic going down to some publishers. Nothing too material, and we've said that before. Now as it relates to the future, one, I think we might see more effect. So as I think about it, let's say publishers have about 30% of traffic-ish coming from search. Could it go 5%, 10%, 20% more down? Maybe, we don't know. But even if it did, I don't think that's a material change because to our overall base, that's one. Two, in general, as I think about Taboola's point of view, supplies are not our concern these days. We have a lot of supply, and I think that's a growing part of our business. We're doing such a good job attracting publishers, growing engagement, growing audience for publishers. So I think for us, the biggest upside, regardless to what's going to happen with search traffic is going to be on the demand side and how we can grow more budgets. And then on the publisher side, and I'm spending a lot of time with publishers on that, I think still that when I look at what publishers do today as relate to adopting AI, we're still in very, very early stages. We are still, all of us, when you go to a homepage, it looks the same. Most article pages look the same. Compare that to TikTok, compare that to Instagram, compare that to Snap. There's so much more opportunity to drive personalization, increase pages per session on publisher's site. So I think while traffic may go down 5%, 10%, and I don't know, I think that the pie could grow at least at the same rate if we adopt AI in a much bigger way. And I'm excited about our investment in that space, in AI, because I think our publishers look to us and say, what can we do to adopt AI in a much bigger way? So net-net, I feel good about where things are because we can do so much more with AI. And I think we've seen a lot of the effects already from GenAI in 2024.
Matt Condon: The second question was about what we're using [inaudible]
Adam Singolda: Oh, to auction, yes. So auction, I mean, the biggest thing that will continue to increase auction in our marketplace, one is continuously looking for great data that whether it's contextual data, first-party data, data through our OEM partners, data through our utility apps. All of those integrations make Taboola as a whole a better partner for advertisers. Advertisers want to work with companies that have intent, that can get closer to the moment when consumers make decisions. So I think, one, the more we continue to diversify and improve the quality of the data we capture, that improves the auction and our ability to attract advertisers and match between consumers and ads. So that's one. Two, obviously, Realize is the biggest thing, right? The more we get more types of budgets, more types of formats, that will increase the auction on our marketplace. And Abby now being part of Realize, which is great. I mean, it's just now part of the UX, it's just there. We have big ambition to make Abby just something that everyone gets to use at the very beginning or over time as kind of this super account manager. So with all of those investments and our laser focus on Realize, that is the thing, as I think about what doubles this company, I believe Realize and this going after owning the performance advertising space, all of those things will improve the auction rates for the company, will make us more competitive as we fight for more supply partners. And in general, especially now more than ever, given our focus on performance advertising, I think this industry will experience losers and winners based on the strategy companies have chosen. And I think being on the performance advertising side now more than ever is the right thing to do.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Adam for any closing remarks.
Adam Singolda: All right, thank you, everyone. So to close, one, let me just start by saying I'm very, very proud of the Taboola team all around the world, working hard, executing. I had a board meeting yesterday and I said how much fun it is to see a company of our size, over 2,000 employees, almost $2 billion in revenue, executing like a startup but a scaled one. We started 2025 with real momentum, beating our high end of the guidance across all metrics. We have a very clear strategy which we communicated to the market and a growing validation from both advertisers and publishers in the industry. Realize, which is now used by the entire advertiser base of the company overnight, is off to a strong start. Our focus on performance and measurable outcomes at the right time as the market is looking for partners they can rely on for growth, especially during these times, feels really good. We're confident in our ability to capture a share from this $55 billion market we see ahead of us, deliver value to shareholders and continue leading the open web in performance advertising. I do want to take a moment to thank everyone for joining this morning, being part of our journey and we're looking forward to spending more time with you in days and weeks to come.
Operator: Thank you, ladies and gentlemen. This concludes today's presentation. You may now disconnect. And have a wonderful day.